Operator: Good morning, my name is Rachel, and I will be your conference operator today. At this time, I would like to welcome everyone to the Cincinnati Financial fourth quarter conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions) I would now like to turn the call over to Dennis McDaniel, Investor Relations Officer. You may begin your conference.
Dennis McDaniel: Hello. This is Dennis McDaniel, Investor Relations Officer for Cincinnati Financial. Thank you for joining us for our fourth quarter 2009 conference call. This morning, we issued a news release on our results, along with our supplemental financial package. If you need copies of any of these documents, please visit our Investor website, www.cinfin.com/investors. The shortest route to the information is in the far right hand column via the Quarterly Results QuickLink. On the call, you will hear from Ken Stecher, President and Chief Executive Officer; and Chief Financial Officer, Steve Johnston. After their prepared remarks, we will open the call for questions. At that time, some responses maybe made by others in the room with us that include Chairman, Jack Schiff Jr.; Executive Vice President, J.F. Scherer, Sales & Marketing; Principal Accounting Officer, Eric Matthews, Chief Investment Officer, Marty Hollenbeck; and Chief Claims Officer, Marty Mullen. First, please note that some of the matters to be discussed today are forward-looking. These forward-looking statements involve certain risks and uncertainties. With respect to these risks and uncertainties, we direct your attention to our news release and to our various filings with the SEC. Also, a reconciliation of non-GAAP information as required by Regulation G was provided with the news release and is also available on our website. Statutory data is prepared in accordance with statutory accounting rules, and therefore is not reconciled to GAAP. With that, I will turn the call over to Ken.
Ken Stecher: Thank you, Dennis. Good morning to all of you. Thank you for joining us on a morning so crowded with several insurer conference calls. As highlighted in our news release, positive third quarter trends continued in the fourth quarter. For the second half of 2009, we had solid earnings and favorable trends. We made an underwriting profit on an all lines basis, with a 96.8% combined ratio for the second half. That period contrasted sharply with our first half, which included the effects of high catastrophe losses. As a result, strong full year 2009 results in many areas were offset by weak workers compensation and homeowner results, which added almost 12 percentage points to the full year consolidated combined ratio of 104.5%. For purposes of analysis, our combined ratio for the total of all lines of business, except workers compensation and homeowners, would be in the low-to-mid 90% range. We have taken and will continue to take action on workers compensation and homeowners. In the homeowner line, changes in our pricing structure have improved the quality of accounts. In workers compensation, we are using predictive analytics as an underwriting and pricing tool, and we have improved the process of taking claim reports from our insured employers. We are adding to our loss control staff to help serve these accounts and reduce claims. We are optimistic that these efforts are taking us in the right direction to return profitability to these two lines of business overtime. In addition to the $10 million fourth quarter underwriting profit, we saw healthy growth of our investment income and the fair value of our investment portfolio. We were very pleased to see good growth of pretax investment income, which rose almost 5% compared with fourth quarter 2008. We are also preparing to turn the corner on an after-tax basis, which is the right metric to evaluate giving our shift in asset allocation over the past year. We believe the portfolio is positioned for growth of investment income in 2010 and for the full year 2009, unrealized gains in the portfolio nearly doubled, even after harvesting a significant amount of gains. We now have more than $1 billion of pretax unrealized gains in the portfolio, with the equity portfolio representing two thirds of that total. A year ago, we told you our plan for improving our capital position. We have accomplished that through prudent management of our investment portfolio, identifying and applying our risk tolerance parameters at the asset type, sector and issue levels. We have positioned the portfolio to benefit from favorable market trends in the future, while managing downside risk. Our equity portfolios total return for 2009 was positive at a double-digit rate, although it lagged the broader indexes, mainly because the market rally did not favor the higher quality, dividend paying stocks we prefer. Risk management from enterprise perspective continues to be an important part of our strategy for effectively managing capital. We are watchful of internal risk as well as broader risk, such as potential regulatory changes. Now let’s turn to our property casualty insurance business. While premium growth remains a challenge due to the weak economy and soft pricing, our growth initiatives have prepared us to achieve healthy growth as markets improve. These targeted growth initiatives already have created some growth areas during 2009, and we are being careful to drive growth only where we see the potential to have an acceptable profit margin. Our 3.3% full year net written premium decline is modestly better than the P&C industry trend of negative 4.8% for the first nine months of 2009. Underwriting discipline slightly lowered our commercial lines policy retention to the 89% to 90% range toward the end of 2009. We consider that a healthy sign that we are walking away from under priced business. While we don’t expect to see significant improvement of industry commercial pricing in 2010, we believe our agents and field representatives are up to the task of identifying quality accounts and competing to get them on the books at an acceptable target profit margin. We showed good growth in personal lines and E&S, as noted in our news release. Quality is our emphasis in these areas, too. Our pricing changes are producing a shift in our personal lines book, with more growth in the Tiers with lower risk indicators. Our E&S business continues to draw accounts that are typical of our conservative appetite, with modest average premiums of about $5,300. Many of these accounts have been long established in our agents offices, so they have known loss histories. Another area where we are growing very selectively is agency appointments. We mentioned in our news release that we will continue in 2010 to research new states and add agencies to represent us. We select agencies that are a good match philosophically and that have the potential to make us their number one or number two carriers by premium volume as they grow with us over the coming years. We want a meaningful and mutually beneficial relationship. This approach works for, so we have the number one or number two spot in more than 75% of agencies that have represented us for five years or more. So we have tremendous room to grow in Texas, Colorado, Wyoming, New Mexico and Washington, which are states of operation new to us, since 2007. We know that all of our agencies, new or established, need to operate efficiently to succeed, and we are committed to delivering technology that helps them growth. Our agents are responding positively to progress we’ve made in 2009 and early 2010. Last year, our staff successfully accelerated the schedule and delivered our new commercial package and auto system to agencies in 11 states. Those states produced approximately 55% of our commercial lines premium volume. We will continue that accelerated pace in 2010, by year end, agencies in a total of 30 states that produce nearly 95% of our commercial lines premiums will benefit from this system and its direct bill capabilities. While it will take some time to move all of our three year commercial policies to the system at renewal dates, we are well on our way. We are working this week to get our agents up and running smoothly on a new dot net version of our personal lines system. It was deployed Monday to all of our personal lines agencies in all states. The system offers easy navigation and processes all six of our personal lines of business. We’re also proceeding with other initiatives to expand our online services for personal lines policyholders in 2010. These technology advances are part of our agent centered strategy. We believe they complement our competitive advantages of strong relationships, great client service and financial strength, improving our position as the go to carrier in each agency. To summarize, we’re building a portfolio of quality books of insurance and processing systems that can stand the test of time. We’re overcoming near term challenges to assure an infrastructure that creates value for the long term. Now, Steve will discuss details for the quarter.
Steve Johnston: Thank you, Ken, and thanks to all of you for joining us today. The fourth quarter was profitable, with P&C insurance underwriting, life insurance operations, and investments contributing to solid book value growth and pushing the full year 2009 value creation ratio up to 19.7%. The fourth quarter combined ratio of 98.6% reflected no catastrophe losses and benefited from favorable reserve development, including 1.7 points from reserves for catastrophe losses occurring in prior periods. As Ken mentioned, in terms of the full year, 2009 was a tough one for our homeowner line of business. However, increased rates and improved pricing precision began taking effect on October 1. Those pricing changes, the absence of catastrophes and the favorable development brought the fourth quarter homeowners loss and loss expense ratio to an encouraging 53.0, and contributed to a profitable 90.9 combined ratio for the personal line of segment. Total P&C reserves on prior accident years developed favorably, benefiting the fourth quarter combined ratio by 10.4 points. For the full year of 2009, prior accident year reserves developed favorably by 6.4 points, which compares with 10.7 points of favorable development during 2008. You’ll recall that during the first half of 2009, we strengthened reserves for workers’ compensation claims occurring in prior accident years. Removing the impact of workers’ compensation, the total of all other lines developed favorably by 9.1 loss ratio points during the full year of 2009. Our reserving philosophy remains unchanged. We continue to target total reserves in the upper half of the actuarial range. Now for some details on investments, the more diversified investment portfolio contributed nicely to net income and book value growth. Pretax investment income increased to $131 million, up $6 million or 4.7% quarter-over-quarter versus 2008 and up $4 million sequentially over this year’s third quarter. Of the 46 stocks we owned at year end, 39 increased their dividends in 2009 and by an average of 7.6%. Pretax realized gains increased to $247 million for the quarter and to $336 million for the full year. Gains during the quarter benefited from two notable transactions. At September 30, we held shares of both Wyeth and Pfizer. During the fourth quarter, we received cash and Pfizer shares when Pfizer closed its acquisition of Wyeth. We then sold approximately 2.2 million shares of Pfizer. The net result was $169 million in pretax realized gains. These transactions helped reduce the percentage of our common stock portfolio in the healthcare sector to 18% at December 31 from 25% at September 30. Also during the fourth quarter, we sold approximately 20% of our position in Verisk, at its initial public offering, realizing a pretax gain of $26 million. We continue to be transparent and our entire portfolio at December 31 is posted on the Investor Section of our website. Liquidity, the balance sheet and our overall financial condition remain very strong, putting us in a solid position to grow profitably. The year end P&C premium to surplus ratio improved to 0.80 to 1, from 0.89 to 1 at December 31, 2008, with statutory surplus growing to over $3.6 billion at year end 2009. At the holding company level, we have approximately $1 billion in cash and marketable securities, and our debt to total capital ratio also improved to 15%. In terms of capital management, during the quarter, we returned capital to shareholders in the form of our regular cash dividend. The stock currently has an attractive dividend yield of approximately 6%, and our board believes many shareholders value our long time tradition of increasing the dividend. While our $0.395 dividend represents a relatively high 75% payout ratio to operating earnings for the most recent quarter. Our strong capital and prospects has improved future earnings provide flexibility for rewarding shareholders through return of capital. Summing everything up, the contributions to book value per share for the quarter are as follows: Property-casualty underwriting profit contributed $0.05; life insurance operations, $0.06; investment income other than life insurance and reduced by non-insurance expenses net to $0.38; the change in unrealized plus realized capital gains on investments netted $0.71; and as we mentioned, we paid to our shareholders $0.395 per share in dividends, totaling it all up, book value increased by $0.81, or 2.8% during the fourth quarter to $29.25 per share. The value creation ratio, which factors in both growth in book value, and dividend contribution, finished 2009 at 19.7%, with 13.6 points coming from growth in book value and 6.1 points being contributed by the dividend; looking longer term, for the five year period from 2010 through 2014, we continue to target an average value creation ratio of 12% to 15%. That concludes my comments, and I’ll turn it back over to Ken.
Ken Stecher: Thanks, Steve. Before we open the call for questions, I’ll call your attention to our news releases this past Monday. The board announced our regular quarterly dividend, $0.395 per share, reflecting the increase last August. They also appointed a new Director with IT and business strategy expertise. We’re fortunate to add Linda Clement-Holmes from Procter & Gamble to our Board, rounding out that group of uniquely and highly qualified leaders. I also note the passing in January of Bob Schiff, one of our company’s four insurance agent founders. He had retired from our Board and his independent agency several years ago, but the spirit of Bob and all the founders’ lives on in our agency centered business model. We value the agents’ local knowledge and customer perspective. We believe those are tremendous tools that when optimized can lead to great results and a great future for agents and their company partners. No matter what other processing and pricing tools we employ, the agents’ insights will be the most valuable. With that, let me open the call for questions. Just a reminder that Jack Schiff, J.F. Scherer, Eric Matthews, Marty Mullen and Marty Hollenbeck are here with Steve and me, and we are all available to respond. Rachel, we’re open for questions.
Operator: (Operator Instructions) Your first question comes from Michael Phillips - Stifel Nicolaus.
Michael Phillips - Stifel Nicolaus: Just one question actually for me, can you just give some details on what you’re seeing in personal auto in terms of liability severity trends?
Steve Johnston: Yes, we are, I think, pretty typical in that we’re seeing our frequency flat to slightly down and our severity is up, but not outside of the range of where we see our pricing being able to handle it. I don’t know Marty Mullen is here from claims. I don’t know if Marty would like to add anything else.
Marty Mullen: Actually, personal auto is almost flat, with a slight severity of about 2%.
Michael Phillips - Stifel Nicolaus: So, no real impact on that line from recession in economy driven type things?
Steve Johnston: We are not seeing it, Mike.
Operator: Your next question comes from Paul Newsome - Sandler O’Neill & Partners.
Paul Newsome - Sandler O’Neill & Partners: Actually want to ask sort of broader commentary about how you are thinking about stock buyback versus the dividend, particularly given the price to book value is below 100.
Ken Stecher: We are very proud, as you’ve heard us say before, about our dividend to our shareholders and long term shareholder base that we have. So I think our preference is really that we would like to or we will continue the regular cash dividend and try to increase that on a yearly basis, like we have for the past 49 years. As the capital base is rebuilt and our earnings increase and the payout ratio starts to trend down, if our capital stays strong and the price of our stock is below book, we will entertain share repurchases at that time, but I think our first preference is maintain the cash dividend policy we’ve had for many years in the past.
Paul Newsome - Sandler O’Neill & Partners: So it sounds like book value repurchases really only would happen once you have a pretty healthy payout ratio?
Ken Stecher: I think that’s fair.
Paul Newsome - Sandler O’Neill & Partners: Then on a different topic, the accident years are pretty high for both lines, commercial and personal lines. It sounds like you’re putting rate through on personal lines. Please tell me if I’m wrong, but outside of just the workers comp line, are you trying to broadly put through rate on the commercial line as well?
J.F. Scherer: We’re doing our best. I’d say that on the majority of accounts, we are able to put through some fairly decent low single-digits rate increases in commercial lines. Competition remains, obviously our renewals are someone else’s new business and we’re still seeing quite a bit of competition, most especially in larger accounts and when I say larger accounts, I’d characterize those as being $100,000 in premium or more and in those cases, we are continuing to see some fairly significant competition. As was mentioned before, our retention ratio has gone down slightly in commercial lines, so we are walking away from some accounts, just choosing not to compete, but really what we’re seeing in the marketplace continues to be, I guess, a dual strategy from a lot of carriers, that everyone is trying to put through renewal increases, but the same carriers are doing that or trying to do that are sometimes some of the most competitive carriers you will find out there in new business. So we are trying to pick our spots, doing our best to weed out the poorer accounts. So that when we’ve had to be more competitively priced, we’re doing it on the highest quality accounts we have.
Operator: Your next question comes from Scott Heleniak - RBC Capital Markets.
Scott Heleniak - RBC Capital Markets: Just a question on workers comp, I know you’ve talked about this for most of 2009, but the loss ratio was elevated again this quarter. Just wondering if you could just give us an update on what you are seeing there as far as frequency and severity trends? Any kind of stabilization there and do you think you are kind of ahead of the curve as far as reserving versus incoming loss trends?
Steve Johnston: Maybe I’ll start out here, Scott and then pass it over to Marty. I think he’s got some comments as well. You are right. I mean, it’s been a troubling line. It has been a line that we’ve all recognized as something we need to improve. So we basically ganged up on the problem from just about every aspect of our company. On the pricing side, we’ve introduced predictive modeling, which we didn’t have before, which we think will help with our pricing precision and that is available now for all new and renewal business. In terms of loss control, we’ve added emphasis there and resources there that should be able to help us go out and help our clients or agents to help their clients to keep a safer workplace and keep the losses down. Our Claims department, Marty will elaborate about this and he’s opened up a new call center that helps us get to the injured parties more quickly. So I think it requires more than just one aspect of our company, and I think we are approaching it holistically and I think Marty Mullen has some good insights to share as well.
Marty Mullen: Thanks, Steve. Scott, exactly what you point out on fourth quarter compared to 2009 and 2008, frequency was fairly flat, but in the fourth quarter of ‘09, there was a severity increase year-over-year in the fourth quarter, mainly related to some individual case losses that were very high. We have made efforts. In fact, this week we’re having field meetings with our field staff with the entire emphasis on being a team effort with sales, underwriting, loss control, and Claims to make this a profitable line of business. So as we continue to move forward, I’m sure all of the tools and the implementation of the effort that we have in place are going to pay dividends in the coming year.
Ken Stecher: Scott, this is Ken. I think as you heard before too, and you saw in previous quarters this past year, we think we’ve been a little conservative in trying to look ahead quite effectively, with potential rising healthcare costs and things like that on this long tail line and we try to address that. So we’ll see how that all plays out, but we have made an attempt to account for that.
Scott Heleniak - RBC Capital Markets: Then switching over to the E&S unit, can you talk about the growth outlook there? I saw the premiums sort of were down a little bit in Q4 relative to Q3, but just thoughts on the opportunities you are seeing. I guess it has now been in existence for about a year and a half or so. Kind of where you see the opportunities, given how difficult pricing is, and where you see that business heading in 2010?
J.F. Scherer: Scott, this is J.F. Scherer. We have been quite pleased with how things have gone with our E&S Company with $31 million, almost $32 million in new business last year. Interestingly enough of the 1180 agencies we have, we wrote policy, at least a policy for over 1000 of those agencies. So we are getting a lot of good play throughout the country for the E&S business. The average premium, as was mentioned in the remarks, is relatively low. We are not trying to burn our way into the market by a long stretch. We think we bring from a model standpoint, a good model to our agencies. We are operating direct with the independent agencies, only the independent agencies, to represent The Cincinnati Insurance Company. Our field marketing reps on the property and casualty side promote this business. However, I might point out that they are not the underwriters that underwrite and price the business. We have underwriters here in Cincinnati that is specialists in excess and surplus lines that are doing that, but we are promoting it, both from inside and out because we are not doing business with the wholesaler marketplace, there are funds available to pay a higher commission to our agencies. I think equally important, the field Claims staff that would be handling the standard claims for our agencies are also the same field staff that our agencies very much appreciate would be the ones handling the excess and surplus lines claims as they occur and then finally, as an exclamation point on our effort towards profitability. The premiums and losses associated with excess and surplus lines are included in the profit sharing contract that we have with our agencies. So lest anyone would be concerned that our agencies would take a throw it against the wall approach on E&S business with us, they’re going to be quite careful, because our profit sharing contract is an important part of their compensation with us about what they offer us. Having said that, when you add all of those positives together, we have a tremendous opportunity within our agencies, in many cases, our agencies are offering to allow us to look at their entire book of excess and surplus lines business and pick through it, the types of things we think, given our level of development. We’re capable of writing profitably. So our approach has been mentioned before, is to walk before we run on this. Our agencies write collectively in their agencies about $2.7 billion in excess and surplus lines business and though we don’t believe that we’re going to be a market, because some of that is very complex, for all of it, we do think we are a market for a fairly decent percentage and will be given an opportunity to compete for it.
Scott Heleniak - RBC Capital Markets: One final question, the 65 new agency appointments that you have on track for this year, any geography specifically that you are focusing on more so than others? I would assume it would be newer states, but can you talk about sort of the newer states you are ramping up agency appointments versus some of your core states, where you are looking to get better returns in those states?
J.F. Scherer: Yes, we had a good year last year as far as the appointments we made in our newer states. Texas, we appointed 20 agencies with 23 locations, for example, Colorado, 10 with 11 locations, won’t be adding agencies in those new states as well as Washington, some in Wyoming, but what we find in terms of taking a look at the 65, we do have under consideration. Some states that are now inactive for us. Keeping in mind that we are licensed in all 50 states, but inactive in 37, but we’ve investigated Maine, Massachusetts, Connecticut, Oregon, for example. Have made no decisions on those, but have satisfied ourselves that we believe the regulatory environment in those states is fair enough for us to consider it. So that will affect the number of appointments we’ll make. We really do take a look at all of our states. As time goes on, some agencies reach the end of their productive cycles and so consequently, it could be that in Ohio, we’ll be looking for some appointments, but one of the things that drives our interest right now probably more than anything else is the geographic diversification. Most especially from a personal lines standpoint, to beef up our activities in states that is less cat prone. So we really take a really close look at those particular states and as you already mentioned, out west, really we think has some real potential for us.
Operator: Your final question comes from Dan Schlemmer - Macquarie.
Dan Schlemmer - Macquarie: Question, if I could, on the Verisk holding. You know, that has suddenly become your second largest single holding. I was wondering if you can sort of tell us how that makes sense in terms of your overall portfolio. Is that something, you didn’t intentionally acquire it? So just curious what your thinking is on that? How it fits in with your overall desire for dividends, managing concentration risk, etc.
Martin Hollenbeck: As you mentioned, we sort of inherited that and then on the IPO, we sold 20% of it. The remaining shares we had which was about $4.9 million, split into some Class B restricted shares, half of which were tied up until April of 2011, the other half until October of 2011. They currently don’t pay a dividend, as you mentioned, so they don’t fit our core philosophy. So at the next chance we have to sell some, we’ll take a hard look at that strategy. If they have not at that time instituted a dividend, then chances are we’ll sell at least some of it.
Dan Schlemmer - Macquarie: On that staying with the Verisk, as you mentioned, the lockup, then on the valuation, do you make any adjustment there for the liquidity, or is the value reflected sort of full market value?
Martin Hollenbeck: No, we use a third-party pricing system and they gave, I think, about a 9.6% discount to the December 31 closing price.
Dan Schlemmer - Macquarie: Separate question, just in the release, there’s a comment about personal lines, working in 2010 on tools that make it easy for agents to compare our personal lines rates, just curious on what the objective is there. I don’t think of rate as Cincinnati’s strength. It’s not a low cost provider. So sort of curious, if you could comment on that a little bit?
Ken Stecher: I’ll comment just briefly, and J.F. and Steve may want to add. I think we have worked very hard with our pricing points the past year to try to get our rate competitive. So we definitely want to do that. We want to grow that book of business again. J.F., I think, has a number of how much personal lines business is written in our agencies. I think we don’t have what we would consider our fair share. Secondly, when I have traveled to visit agencies, they use these, I forget the name of comparative raters, where they can kind of enter the data for an individual person and they can get the price points for three or four of their personal lines carriers. So we want to provide the technology that we will be part of that process, and they don’t have to enter our data a second time to get our quote. So I think that’s part of what we were referring to there, but I’ll let Steve and J.F. add to that, if they’d like.
J.F. Scherer: I would only add that it’s important, as Ken mentioned and from an efficiency standpoint at the agency, for the agency to be able to compare whatever number of carriers they have. We’re not trying to compete to be the low price, but at the same time, we have to be in the system for them to be able to see what price we have. Then our job at that point is to make certain that we’ve convinced them that we’re worth the extra cost of the lowest cost provider. So at the same time, while we’ve focused on making certain that our rates are adequate, in the ballpark, if you will, we also expect and market our product on the basis of a higher value that we provide, and therefore, slightly higher cost.
Steve Johnston: I think I’m just reiterating what Ken and J.F. said, but to your point, we do sell on relationship. I think our agents are putting their best accounts with us. We just want to be in a position where we make it as easy for our agents to do business with us as possible.
Dan Schlemmer - Macquarie: Last question, just as you see pressure, particularly in the commercial lines, are there any particular segments you are seeing the strongest pressure in? Is it your construction book mostly, or are there are other segments that you are seeing particularly fierce competition?
Ken Stecher: I wouldn’t call what we are seeing in construction as fierce competition so much as just economy related depression of exposures. That’s where the depression of price comes in there. We are not seeing necessarily at a strong competition for rate in that particular area. Probably as much as anything and we hate to wear this out, but the larger the account, the more it attracts a variety of competitors and I think there is a sense because you have a lot of premium to work with, that you’ve got a lot of margin that you can risk. So I would say that it is simply the larger accounts that seem to be the most competitive by class of business, obviously there are carriers out there that niche in, that are going after certain classes, and that type of thing. So when you have a carrier that decides they are going to specialize, for example in colleges or something of that nature, they are bringing something to the table in terms of more aggressive pricing as well, but I wouldn’t characterize the marketplaces in terms of a class of business, one being more competitive than the other.
Operator: There are no further questions at this time. Mr. Stecher, I turn to call back over to you.
Ken Stecher: Thank you, Rachel. Thank you all for joining us today. We look forward to speaking with you again on our first quarter call. Have a great day. Thank you.